Michael Green: Hello. Good morning, everyone and welcome to this presentation of Handelsbanken's Results for the First Quarter of 2025. The first quarter showed an operating profit of SEK8.1 billion, which was very stable compared to last quarter last year. The return on equity was 13%. Compared to the same quarter last year, the NII showed resilience and fee and commissions grew on the back of positive development again in the savings business. The costs have come down significantly over the year, down 7%. This led to the cost/income ratio improving year-on-year to 40.7% in the quarter. Net credit losses again for the fifth consecutive quarter amounted to net credit loss recoveries. In times of volatile markets and uncertainties about the macro outlook, it's always important to remind about the low funding and liquidity risks in the bank. These are continuously handled in a prudent manner in order to safeguard the bank from potential unknown factors such as market disruptions or a rapid change in the macro environment. And on top of the low credit funding and liquidity risks with the capital situation is robust with the CET ratio still above the long-term target range. This all-in-all puts the bank in a solid financial position. On the back of prevailing uncertainties regarding the geopolitical landscape and the macro outlook, the anticipated dividend is calibrated to a level resulting in a CET1 ratio of 18.4%, which means 50 basis points above the long-term target range of 100 to 300 basis points above the regulatory requirement. The anticipated dividend for the first quarter of the year hence amounts to SEK5 per share or 157% of the earnings generated in the quarter. Now if we look closer at the financial summary of the first quarter compared to the previous quarter, ROE amounted as said to around 13%. NII dropped 2% when adjusting for negative currency effects relating to the strengthening of the SEK. The fee and commission income was seasonally lower and dropped 5%. The NFT was unusually strong in Q4 and dropped back to a more normal level for the bank. In total, income dropped by 8%. Total expenses dropped by 5% and 2% adjusted for restructuring expenses allocation to Oktogonen and FX this despite the annual salary increase that always comes in play in Q1 for the bank. The cost-to-income ratio was consequently kept around 40% despite the headwinds in income. The net credit losses amounted to net recoveries of SEK54 million or one basis point. The underlying operating profit was down 12%. If we instead compare to the same quarter last year, NII showed resilience and only declined by 2% despite the material cuts in policy rates in our home markets. Net fee and commission on the other hand increased by 5% with the key contributor again being the savings and mutual funds business. On the expense side, we saw an underlying reduction by 5%. The decline comes as an effect of the cost initiatives carried out over the last year. Net credit loss recoveries were a touch lower than last year. So all-in-all, the operating profit was down by 2% and on an underlying basis by 4%. Now, we zoom into the NII development compared to the previous quarter. So the NII dropped by 3%, of which 1-percentage point related to currency effects from a stronger Swedish krona. The remaining decline of 2-percentage points was explained by negative margin effects due to mainly policy rate cuts. The remaining effects from volume development day count and other effects were minor and more or less offset each other. Net fee and commission income increased by 5% compared to last year with the key contributor again relating to the savings-related commissions, which increased by 7% compared to last year. We continue to see that the bank gains market share in the savings business, which has been the trend for many years now. The decline in saving-relating commissions versus Q4 was mainly related to a negative day count effect and performance fee booked in the previous quarter. Payment fees increased by 2% year-on-year. The quarter-on-quarter development was related to seasonality with especially a slower customer activity on the card side. Other fees were up 2% year-on-year and fairly stable versus Q4. Now over to the expenses. 2024 was a year with intense internal work in order to first identify and then address efficiency-enhancing measures. Central and business support functions were trimmed and the use of external consultants reduced. The total staffing, meaning employees and external resources, was down by 7% compared to Q1 last year and the total underlying cost dropped by 5%. The efforts carried out over the past 12 months have not only reduced the running cost base but also strengthened the cost culture throughout the bank, which is essential for sustainable long-term efficiency, competitiveness and profitability of the bank. At the same time, we increased our efforts and resources in the areas where we meet the customers and are now in Sweden physically presented in more locations than a year ago. As a result of the elevated pace of IT development spend in the past recent number of years, numerous rollouts of both efficiency-enhancing and business facilitating tools, have been made available for our employees. In fact, the stream of new tools in recent years has never been higher. This on top of continuous upgrades in the customer interfaces in the app and in our Internet bank. Of course, new digital tools are not increasing efficiency or generating business volumes simply by itself. The value creation rather arises from efficient and optimal utilization of these. Currently, the organization is in full speed in adapting to working on realizing the full benefits of the new tools, for example, in the fields of CRM, FCP, internal workflows, customer interaction, in areas of signing and documentation, Microsoft 365, cloud solutions, et cetera. Naturally, this should lead to increased efficiency and improved offering and advice to our customers in the future. From a cost perspective, this also means that the running IT development spend can be kept somewhat lower as of now compared to the recent years. Now, over to asset quality and credit losses, or rather the net credit recoveries. Over the past five years which have included both a pandemic, as well as stress situations for some corporate sectors during this period of sharp rate hikes the bank has on aggregated reported total net credit loss recoveries of more than SEK 220 million. This underscores the strength of the asset quality and the prudent approach to risk in the bank. The reason for this relates to the bank limited risk appetite, the consistency in the underwriting the preference for collateralized lending and not least the local presence and connections through our branches. Also in this quarter, the management add-ons was trimmed down a bit this time by SEK 28 million to a remaining SEK 121 million. Excluding the add-ons, the net credit loss recoveries amounted to SEK 26 million. The general view in the bank is that we simply do not like risk relating to external factors that we cannot control such market disruptions or rapid change in the macro environment. Our business model is rather built around relationships long term with customers having strong cash flow profiles and managing our prudent credit risk over time. Therefore, we always strive at limiting funding, liquidity and market-related risk as much as possible in order to safeguard the bank against whatever unknown external events that might occur. Over the past five years -- few years, sorry, we've increased the already ample liquidity buffer to add even further protection to the bank. And currently, the liquidity reserve amounts to around SEK 950 billion, representing more than a-quarter of the balance sheet. And on top of that, there are unencumbered assets which in practice mean an additional liquidity buffer in the form of unused room for covered bond issuance. Hence the bank is in a strong position to swiftly adjust to market disruptions should such occur. And on top of low credit funding and liquidity risks the capital situation is robust with a CET1 ratio 50 basis points above the bank's long-term target range, which is 100 to 300 basis points above the regulatory requirement. The solid financials put the bank in a position of strength being one of the most trustworthy and stable counterparts in the industry. And the view is shared by the leading rating agencies who rate the bank the highest among comparable banks globally. Now, a few words about the respective home markets. In our largest home market Sweden, the development is stable. The cost/income ratio is around 30% and the return on allocated capital almost 15%. The bank has a strong market position in Sweden as the largest combined lender in private and corporate lending. And as we've seen in the statistics over the past decade, the biggest player in regards to net inflows into mutual funds. In Norway, we have seen significant improvements over the course of the year. The cost/income ratio has improved from 52% in Q1 last year down to 44% in this quarter. After a refocus period that was starting during the spring last year, the business growth is now more balanced between lending, deposits and savings. And cost initiatives are also starting to show in the numbers. In the UK, we have the most satisfied customers in the market. Volume growth however remains subdued with continued high amortization, but we see small signs of increased customer activity. Focus in the recent quarters have been on improving the efficiency and we are gradually starting to see initiatives filtering through in the cost base in the UK. And finally the Netherlands which is our smallest home market of the group. Also in Q1 we saw business volume growth, especially, in asset management and deposits. So to sum up Q1 is -- Q1 operating profit held up well compared to last year with NII resilience and lower costs. The cost-income ratio improved. Asset quality remains as robust as it should be for a bank with Handelsbanken's risk appetite and risk profile. The funding and liquidity risks are low and the capital position very strong. And finally and not least we continue to focus on making sure that our advisers in our branches are close to and easily available for our customers. This is something our customers really appreciate especially in more uncertain times. So with those final remarks we now take a short break before moving into the Q&A session. Thank you. [Break]
Peter Grabe: Hello, everyone and welcome back to the Q&A session. This is Peter Grabe, Head of Investor Relations speaking. And in the studio, we have Michael Green, CEO; and Carl Cederschiöld, CFO. As always, we would like to remind you that we appreciate if you ask one question at a time in order for everyone to get a chance to ask a question. Follow-up questions are of course, welcome when its your turn again. And with those words operator, please could we have the first question?
Operator: Thank you. And now we're going to take our first question. And it comes from the line of Markus Sandgren from Kepler Cheuvreux. Your line is open. Please ask your question.
Markus Sandgren: Yes. Good morning. So I was thinking about your on capital. So you're targeting a buffer of 3.5%. What risks are you having in mind when you target a buffer above the 1% to 3% that you have usually? I mean it's not liquidity risk I assume. And also you're not worried about credit risks, as you continue to make credit reversals. So what risks are we really talking about? And should we read this as your actual target is more of 3% to 4% than 1% to 3%?
Michael Green: Good morning, Markus and thanks for the question. No, you shouldn't read that into the decision. You know that we – after the COVID outbreak obviously, we were at some time at plus 6 percentage points in CET1 GAAP. And at that time we said – we kept reiterating that our normal target range is 1% to 3%. And it's obviously been a case of how do you move yourself within the normal target range. We took the first decision to move ourselves down to plus 4%, during last year and now we take the second step to move ourselves down to 3.5%. And we are on a trajectory to move into the normal target range. So we just think that was quite a good timing to do it nowadays. We are as you say we are extremely pleased with our balance sheet, with the asset quality, with the liquidity situation. We can obviously see that there's a bit of muted growth. So we think it's quite a good timing actually to take this step now. But we keep reiterating that 1% to 3% is our normal target range.
Markus Sandgren: And what risks are you keeping additional capital for then?
Michael Green: It's been a matter of...
Markus Sandgren: So it's not business growth.
Michael Green: No, you've heard us obviously saying that when we were at plus 6%, we didn't see risks that made us keep the buffer at plus 6%. It was rather a metric of how to move yourselves down, into the one to three percentage points. So we will prioritize our long-term shareholders and they are quite pleased with owning the bank and leaving some cash in the bank, returning 13% in ROE. So we feel no stress. But we keep reiterating that we will move ourselves down to 1% to 3%.
Markus Sandgren: Okay. Thank you.
Operator: Thank you. Now we are going to take our next question. And the next question comes from the line of Andreas Hakansson from SEB. Your line is open. Please ask your question.
Andreas Hakansson: Thank you, and good morning guys. On Slide 7 looking at the staff numbers I mean, you made a very impressive reduction here now in I guess underlying own staff is down 3% and consultants are down even more than that. Could you tell us a little bit from what areas are you finding these people? And also do you still believe there's room to do more in this area? Thanks.
Michael Green: Yes. Thanks and good morning, Andreas. As you say we've taken down our total staffing levels by 975 people and that's been a combination then of staff plus consultants obviously. And what we've said is that -- what Michael initiated during the start of last year was obviously we made an analysis of the central support functions. We managed to merge a few of them. We managed to take away a fewer resources there. So that's one key component. The other one is that, we've obviously for quite a few years we have invested quite heavily into our IT. We have invested in core systems. We have invested in CRM capability. We have invested in Microsoft 365, and quite a few actually of digital advancements, which is obviously making the possibilities to work much more productive in quite a meaningful way. That -- the conclusion of that one is that, we've been able to move down our IT investments to some extent. And thereby obviously we -- that's quite a meaningful impact as well. And the majority of that one is taking away consultants which we needed to move through the uplift we needed to do for a few years ago. And then, thirdly, which we might see nowadays is that people are starting adapting to the better technique and possibilities we have and thereby, we can work a bit more productive. So the majority of the program, like actions, if you call it that way they are done. We've managed to go through them last year. We will have some more room to do in U.K. because they are lagging a bit due to their processes. Then second, we do expect actually, we are in quite a good position to keep cost under control and keep progressing in creating more productivity. If that shows up in more business we'll be very pleased. And otherwise we think we have an organization which will gradually adjust.
Andreas Hakansson: Okay. Thank you.
Operator: Thank you. Now we are going to take next question. And the next question comes from the line of Magnus Andersson from ABG SC. Your line is open. Please ask the question.
Magnus Andersson: Yes. Good morning. I have a question about the performance in your home markets outside of Sweden. I mean they are all as you account for it in your business accounting ROE -- showing worse ROEs than the Swedish market. And even if we disregard of the capital allocation which might play a role here if you look at cost/income ratios in the U.K. it's the highest cost/income ratio in a long time even before rates have started to normalize. In Norway, you are pretty flat at 2023 levels 10% ROE and you're at around 10% in the Netherlands. So I'm just wondering is there any room for similar type of efficiency enhancing measures as you pulled off in Sweden? Or how are you else going to address this? I mean, the U.K. everything else equal could look quite disastrous when rates start to come down for example? That's my question.
Unidentified Company Representative : Thanks Magnus. Good morning. Well, I think for us obviously it's -- we know obviously that we over a long time we built new home markets. Normally if you move back like 20 years the way we built our home markets is we opened a branch the branch manager decided how to approach the market. Normally we started with lending clients and which borrowed money from us. Obviously the regulatory regime has changed quite a bit in the picture. We've changed as well. And what we've spent quite a lot of efforts into is obviously to build a position in both U.K., Norway and Netherlands that make us be able to accrue a balanced business. And I think we've been doing quite a lot of actually positive moves here. We are in a situation now where if I talk U.K. first, we obviously built by being the most stable bank and by the distribution model we run in U.K., which is obviously differentiating us vis-à-vis many of our peers. We have been able to build extremely good client relations. We have the best of client satisfaction. We have accrued a lot of savings mainly in deposits. We are focusing a lot on improving the asset management side. And these -- both of these aspects are obviously needed to meaningfully move upwards in ROE even though we obviously printed extremely strong ROE in U.K. in the last years. Norway we have invested a lot in over the last years. We built a private segment now where we have increased the number of clients by more than 40,000. So that's a heavy improvement. And that puts us in a position where we can run a much more balanced business model. Norway has made a lot of positive movements during the last year. But as we've said obviously it will not go over a quarter. It will take some time. But I'm really pleased to see the growth we've seen in the Norwegian business model which has been then obviously volumes in deposit taking and in assets under management has far succeeded the growth we've seen in lending. So thereby we think we are well positioned to move forward there as well. And Netherlands obviously, we are -- we placed a lot of focus in integrating now the asset management side. And we come some way. We have more room to go there. And -- but we think actually we are in quite a good position both to start accumulating absolute growth, but also rotating the business to a more ROE-friendly mix. So, I would actually think we are quite well positioned right now.
Magnus Andersson: Okay. So just a follow-up on UK as it's the most important. So what you're saying really is that, you're now at the 54% cost income ratio. You're not going to address the cost base, but rather try to build on income hopefully then growth to return and increase the fee-related part.
Carl Cederschiöld: I think it's both. Mike can jump in then. I think it's both actually. First of all, we are obviously pursuing the same actions in UK as we've done in Sweden. But the process in UK has been -- we needed to go through a more process with involving the staff in order to cut staff. And thereby, you will see this metric coming through now in the coming quarter. So we will definitely work with cost and we will keep on doing that one. Then it is a necessity to start growing. We have 85,000 clients in the UK. We think we can grow that number quite meaningfully with the offering we have. Thereby we have invested quite a lot in IT to bring on the leverage of the branch staff. So -- and then of course, as you say, we need to improve on the asset management and we do quite a lot of actions there as well. So it's both actually both cutting costs and increase income.
Magnus Andersson: Okay. Thank you.
Operator: Thank you. Now we're going to take our next question. And the question comes from the line of Nicolas McBeath from DNB. Your line is open. Please ask your question.
Nicolas McBeath: Thank you. So a follow-up on questions related to FTEs. Looking at the FTE trend in the Swedish operations, Handelsbanken Sweden, it's down almost 4% year-on-year. How should we think about this decline? Is that reflecting autonomous decisions within the branches or more some centralized communication or steering method? Because I think previously you said when FTEs rose in the branches in Sweden that this reflects branches adapting to improve business outlook. So just wondering if this is reflecting the reverse now when we see FTEs are falling.
Carl Cederschiöld: I think there's a few things we like to see in the figure over time. First of all, as you say, yes, we've cut down obviously the support functions so we merged them. So that has some implications on this one. So that we like to keep on seeing productivity gains within the support functions. The second, which we highlighted during the year is that of course, we want to improve first of all the ratio of staffing out in the branches where we meet our clients. And we want also to see that we're opening up branches or meeting place if we find good business there. And we've seen that over the last year. Having said that, I think the branches actually are by culture they're extremely adaptable to the momentum, to the business momentum. And what they've actually achieved during the last year, we've obviously rolled out a lot of tools which is making them possible to run a much more efficient and productive branch. And thereby we see -- and then when we don't see the growth and the business momentum, they will adapt to that one. So we'll see what happens. I think both Michael and I would be most pleased if we see business start returning and we see strong growth. And then we're very happy to see them grow in staffing again. But we're equally pleased to see them adapting to the current environment.
Michael Green: Right. So if I just might add, it's Michael here. So I mean the work we've done to bring efficiency more in place in the central functions that's -- we'll keep doing that. And how much the -- what resources our branches need for their business it's up to them to do. And they -- as Carl said, they are very adaptable to the business environment and they will adjust accordingly. So I'm very confident with that.
Nicolas McBeath: Perfect. Thank you.
Operator: Thank you. And the next question comes from the line of Sofie Peterzens from JPMorgan. Your line is open, please ask your question.
Sofie Peterzens: Yes, hi. Thanks for taking my question. In terms of net interest income when I kind of look at the operating division net interest income was down in all the core divisions. But then in the other unit NII was actually up 215% at SEK277 million this quarter. How should we think about the kind of run rate net interest income in this other unit business? And what's kind of a normalized level here if you could comment on that? And then just a follow-up question on the cost line. Should we expect any costs from Oktogonen going forward given that the cost for Oktogonen was pretty low this quarter. Is this now the new run rate? Thank you.
Carl Cederschiöld: Well, let me start and then Peter please fill in on the -- first of all, in the NII, this is actually one of the what you're highlighting is obviously the true outcome of this quarter. And this is one of the reasons why we don't guide and try to split it up on lending and deposit taking and various segments within the bank. What's happened obviously is both of all both -- we have quite a good impact from the liquidity portfolio this year. That's obviously, one component of running the internal bank. And thereby if we do a lot -- if we do the income of the NII components could end up either at the treasury side or in the segments. What we do internally is that we shift out all the P&L generated in the treasury out towards the segments. And if we generate more money on the liquidity portfolio that will be shifted out towards all segments both our four home markets but also other central functions. And that's one part of what you've seen in the P&L during this quarter. And then Peter.
Peter Grabe: No, I think that's the way you should look at it that the result in central treasury the excess results that sometimes arises it's allocated to the business areas so the segments but also to central functions and the central functions are part of the other units that you alluded to.
Carl Cederschiöld: And your second question Oktogonen I mean we'll be extremely pleased if we square and surpass our peers, we'll be very happy to see Oktogonen accrual increase. So, it will be down to the performance over the year to see what the cost base of Oktogonen will be. And you can guesstimate that as well as we do.
Sofie Peterzens: Yes. Okay. Thank you. But in terms of the net interest income just from the kind of Treasury department, I mean like it's just very, very difficult to kind of forecast with this kind of moves. So, is there any guidance or any way that you can help us kind of think about the net interest income from this division going forward? Or yes, like any anything you could point to or even on a group level like when net interest income will trough, and when you expect NII to start to improve, because if you have like 215% quarter-on-quarter, it's difficult to forecast.
Carl Cederschiöld: Yes. I think -- first of all my message is, you shouldn't be too detailed on that table and try to guesstimate the various sectors there, because what we say is that they will keep moving around between the sectors, over the quarters. As quite similar to what you heard from other banks obviously, in earlier calls obviously, we obviously had a negative component of nearly SEK 290 million from margins and that's obviously due to us having roughly 25% of the deposit volumes on transaction accounts, which is obviously where we pay 0%. So even if Riksbank are cutting their rate, we can't cut the rate we pay to our clients there. So that's one core component, which will obviously have a negative impact on us. Then, as we talked about previously, we obviously have some timing effects, which is having the opposite component. And in Sweden, that they are coming from the fact that in Sweden, we reprice deposits daily, but we reprice the lending monthly. And thereby, it takes three months before that has worked through the system. And then obviously, it could actually take two quarters in an accounting perspective, before we see the all else equal level. That's the component in Sweden. In UK and Norway, we actually have the opposite. We have notice periods there. So we are actually -- the P&L, we print right now is actually a bit lower than it will turn out to be when it's funneled through the system. So thereby, I think we will have some lag effects and obviously, but you should see them during Q2, we will have our normal trends if rates stay the same. But it won't be until Q3, you see the full impact of it. And then in the end obviously, after that NII will be decided by volumes and margin development.
Q – Sofie Peterzens: Okay. That's very clear. And maybe just on the net interest income also, do you still make a lot on the US carry trade with the US uncertainty and how much….
Carl Cederschiöld: Did you call that the US carry trace -- I don't know, if you call that the US carry trade. I can say we have no US carry trade, if that was what you call it. But we obviously have a liquidity reserve, and liquidity reserve of a long-term perspective is obviously an insurance. And in that case obviously, we run with the view that that over time will cost us something or slightly -- or be close to zero. And right now obviously, we are in a situation where we are making some money on the US deposits we are accruing, when we're giving away to the Central Bank. We're pleased about it, but we can't take that for granted. And we haven't changed anything in our US operations.
Q – Sofie Peterzens: And is there any quantum -- how do you think about the quantum of the money that you make on the US iquidity portfolio
Carl Cederschiöld: No. That's one key component of obviously running the treasury department. And I'm sorry now, Sofie, I think you've done your question.
Sofie Peterzens: Yeah, sorry. Thank you very much. That was very helpful.
Operator: Thank you. Now, we’ll go and take our next question. And the question comes from the line of Namita Samtani from Barclays. Your line is open. Please ask your question.
Namita Samtani: Good morning, and thanks for taking my question. I just wondered, why did you issue more covered bonds in the first quarter than what matured given there's no lending growth on your balance sheet? Or do you foresee some lending growth picking up in the next few quarters? Thank you.
Carl Cederschiöld: Thanks, Namita and good morning. I think it's fair to say you know us you know that we are an extremely conservative bank and we will always play it from the secure side. So we've obviously -- being in such uncertain times, obviously, we took the opportunity to pre-fund ourselves. And as you know we have a tapping market in Sweden. And, thereby, we've actually had investors, which were interested in buying our covered bonds. So, thereby, it was actually quite a good timing and opportunity for us to scale up a bit in that area. But since you're asking I think I can lay out the words as well and say that we've actually seen a fairly fully functioning US markets. It's been -- we've been able to keep the exact financing plan on volumes. It's not been spreaded out over the days in such a smooth fashion as we've seen before. But over time we've actually kept the pace, which we wanted to.
Namita Samtani: That’s helpful. Thanks very much.
Operator: Thank you. Now we're going to take our next question, and it comes from the line of Bettina Thurner from BNP Paribas Exane. Your line is open. Please ask your question.
Bettina Thurner: Yeah. Hi, good morning and thanks for taking my question. I just wanted to ask on -- to go back on capital. I think you were very helpful with your comments that you're using this temporary buffer to steer down to the 1% to 3% normal range. For this year, I think is it -- does it make sense for you to assume that you will steer it the full year dividend to the 3.5% buffer? So did you land at 18.4% at the end of the year? Or do you think it's also possible that you will adjust the buffer again throughout this year? Thank you.
Carl Cederschiöld: First of all -- and thanks for the question. First of all, I think it's fair to say that we've said that we -- our normal target range is 1% to 3%. We've said that we will communicate it quarterly. We took the decision now to move it down 0.5 percentage point. I think that's the only message I have. We've, obviously, took it down to 4% last year. Now we decided to take it down to 3.5%. And then we'll see for the remaining of the year. But we are in a good position and we will obviously -- you know us, we will try to do this in a smooth fashion and play to the long-term shareholders' benefit.
Bettina Thurner: But for this year, it's fair to assume that you will see the dividend that you land at 18.4% as of now let's say?
Carl Cederschiöld: I'd like to add there as well that we have the IRB overhaul and we don't know when the conclusion from the IRB overhaul comes. But when it does we, obviously, expect to see our risk-weighted assets to grow but the CET1 ratio to be brought down, because we are penalized today by 0.5 percentage points in Pillar 2 add-on. And, thereby, if you're asking me, if we will close the year at 80.4%, I don't know. We'll see.
Bettina Thurner: Okay. Helpful. Thank you.
Operator: Thank you. And now we'll go and take our next question. And the question comes from the line of Shrey Srivastava from Citi. Your line is open. Please ask your question.
Shrey Srivastava: Hi and thank you very much for taking my question. I just want to drill down a bit further into the UK where I think in local currency you saw sort of 4% to 5% NII decline. Firstly, what's driving that? I know you mentioned some timing effects earlier. And secondly I know you've been doing a lot of work with the broker channel. But if you look at household loans to the public, they've been in fairly consistent decline for the last few quarters now. So I'd just like to ask what's the progress looking like on that? And when can we start to see this reflect in the numbers? Thanks.
Carl Cederschiöld: Thanks Shrey, and good morning. I think it's fair -- first of all, we obviously made a lot of work to bring our lending growth back. What we can see right now is that we are both actually adding new clients when it comes to corporate clients as well as private clients. And that's actually quite a trend shift we've seen. And I think on the private side, one component but just one component to that one is the relations we built with the nationwide brokers. It also relations we built with the local brokers, because right now 80% to 90% of the UK mortgage markets are actually running through brokers and thereby we needed to build that one. As of now, we have four -- I think we -- sorry, as of now we have six brokers, which we have onboarded. And we plan to have like 10 brokers onboarded at summertime. We think that's actually enough to move our growth back to being positive there. Time will tell. And obviously, with the very uncertain times, we could keep seeing amortizing grow from this level. But having said that, we think we are in quite a good position actually to start seeing both growth in number of clients, transferring into growth actually in volumes. And obviously this is work we've done for quite some time. And the next step of that one is as we say we are investing quite a lot in IT right now in UK. And the reason for that one is that we want to increase the leverage and the productivity of the branches and thereby be able to more or less double our client size. So that's the longer-term journey as well. And as you know, we are a very small bank in a very big market with by far the highest client satisfaction and an offering, which is highly appreciated. So I think we are quite well positioned actually over time to start seeing UK get back to being a growth engine.
Shrey Srivastava: Okay. Thank you very much. And the sequential NII decline in Q1 versus Q4?
Carl Cederschiöld: Sorry, the NII drop in UK is obviously a consequence of rate movement and margin compression there as well.
Shrey Srivastava: Okay. Thank you very much. Very helpful.
Carl Cederschiöld: Thank you.
Operator: Thank you. And the last question for today comes from the line of Markus Sandgren from Kepler Cheuvreux. Your line is open. Please ask your question.
Markus Sandgren: Yes. Hi again. Just a technical one on the day count effect. I have figured that two fewer days in this quarter versus last one is roughly 2% lower NII. I was apparently wrong. Is there a big mismatch between conventional assets and liabilities? Or what am I missing?
Peter Grabe: Yes, you're partly correct. The day count effect that we have talked about historically relates to the type of -- on the lending and the funding that we have in the bank which are priced on an actual day count convention. So if the bank obviously earns a slight margin, if there are fewer days in a month, then obviously there are a few days of earning this margin. That's the traditional one. That's the one that we disclosed for the business segments. So that's the same unchanged. And then you have another impact arising within Central Treasury and you could either call it sort of a treasury margin or the like or you can define it as a day count effect. And we have now chosen to do the latter, because we believe it provides an increased degree of transparency for you. And this effect that arises in Central Treasury offsets, the negative impact that you would see in the business areas, if you have fewer days. And as you touched upon, it's correct. It relates to different day count effects on the lending compared to our funding. So if you have a loan that's based on 30 days per month that the customer pays and you have funding that's based on the actual days in a month. So if they have a month of 28 days, you have interest based on two fewer days compared to what you get from the customers and vice versa of course, if you have more than 30 days in a month. And this effect arises in Central Treasury and that's the one we're highlighting. So in sum, the day count effect is a touch above SEK 40 million for two days so around SEK 20 million to SEK 25 million per day and that's the number that you should use going forward when assessing the day count effect on a net basis.
Markus Sandgren: Got it. Thanks.
Operator: Dear speakers there are no further questions for today. I'd now like to hand over to the management team for any closing remarks.
Michael Green: So yeah, thank you for attending this call, and I hope to talk to you soon and have a nice day. Thank you. Bye-bye.
Carl Cederschiöld: Thank you.